George Paleologou: Welcome, everyone, to our 2025 second quarter conference call. Thank you for joining us today. With me here is our CFO, Will Kalutycz. Our presentation will follow the deck that was posted on our website this morning. We're now on Slide 3, which outlines key highlights for the quarter. Overall, our results for the second quarter were on plan as our premium protein and artisan baked goods strategies in the U.S. continue to generate very strong organic growth rates, and our Canadian business has benefited from strong demand for protein products in both the retail and foodservice channels. While the consumer backdrops in both Canada and the U.S. have their challenges, we continue to generate solid organic growth as a result of the 3 main macro trends we have been investing in over the past 20 years, namely value-added protein, premiumization and convenience. Indeed, consumer preferences in North America and even globally are shifting rapidly with demand for premium protein growing substantially, while many ultra-processed foods are being scrutinized, questioned or even avoided by consumers like never before. At the same time, busy lifestyles are driving demand for healthy, nutrient-rich minimally processed ready-to-eat and ready-to-cook snacks and meals. For more color on our various strategies and the consumer trends driving them, please see my most recent CEO letter to shareholders, which is titled The Future of Food is in the Past and can be found on our website. Our strong performance during the quarter was not without headwinds as higher-than-expected inflation in certain key commodities, namely beef and chicken, pressured margins and our overall profitability. We're taking the necessary actions needed to restore our margins, including targeted pricing as well as cost reduction initiatives through continuous improvement, automation and capacity optimization. Our ability to continue to deliver record top and bottom line results despite the many challenges that come our way is a testament to the resilience of our unique business model, our commitment to running best-in-class operations, our premium and on-trend product portfolio mix and the passionate men and women entrepreneurs that we're privileged to work with. Furthermore, the base of consumers driving the megatrends we're investing in is growing in size and is less sensitive to mild economic downturns. As we near the end of our most recent $1 billion capital investment cycle, which began 3 years ago, we're well positioned to execute our 5-year plan, which will take us to $10 billion in revenue and to 10% to 12% EBITDA margin by the end of 2027. We're now on Slide 4. Although we did not close any acquisitions during the quarter, our acquisition pipeline remains full, and we're involved in many advanced stage discussions with talented food entrepreneurs that are looking to join our unique ecosystem of best- in-class specialty food companies. This is because they know that we're investors and not traders of food businesses and that we take a very long-term view in managing our business while always staying true to our vision and our values. We're now on Slides 5 and 6, which includes some pictures of new capacity recently added to our U.S. plant network. Our new state- of-the-art sandwich assembly plant in Cleveland, Tennessee, which is shown on Slide 5, is now operational with 4 lines in production and a fifth being installed. Slide 6 shows a picture of our recently acquired cooked protein production facility in Owasso, Oklahoma. Over the last 6 months, we have made significant improvements to this plant, which is now producing our highly successful marinated chicken skewer and cooked chicken bite lines that are also shown on the slide. I will now pass it to Will.
William Dion Kalutycz: Thanks, George. Before I begin, I would like to remind you that some of the statements made on today's call may constitute forward- looking information, and our future results may differ materially from what we discuss. Please refer to our MD&A for the 13 and 52 weeks ended December 28, 2024, as well as other information on our website for a broader description of the risk factors that could affect our performance. Turning to Slide 8. Our sales for the quarter were a record $1.9 billion, up $212 million or 12.5% as compared to the second quarter of 2024. This increase was driven by 4 factors. The first and largest was organic volume growth, which accounted for $82 million of the increase. Acquisitions made up another $74 million of our growth. The third factor was selling price increases, primarily relating to chicken and beef-based products, which contributed $50 million to our sales increase. And the final factor was a currency translation benefit of $6 million, resulting from year-over-year weakness in the Canadian dollar. Our organic volume growth in the quarter was driven mainly by the continued success of our U.S. market-focused initiatives in premium protein and artisan bakery products, which generated $58 million in organic volume growth, representing a combined organic volume growth rate of 21%. On an individual basis, these initiatives generated organic volume growth rates of 15% and 98%, respectively. The balance of our organic volume growth was driven by our Canadian businesses, which, as George mentioned earlier, are benefiting from some stabilization of consumer behavior in the foodservice and retail channels as well as several macro consumer trends. These positives were partially offset by a 2.3% contraction in our U.S. market-focused sandwich initiatives, which was solely due to a tough year-over-year comparative resulting from channel fill sales associated with a major new product launch in the second quarter of 2024. Adjusting for the impact of this, our U.S. sandwich initiatives generated a positive organic volume growth rate of 2.3%. Looking forward, we expect this rate to accelerate over the coming quarters as our sandwich group leverages the incremental capacity of the new Tennessee plant George referred to earlier. Slide 9 shows a breakdown of our core U.S. growth initiatives. As you can see, our protein and bakery groups generated very solid results for the quarter, while our sandwich group struggled for the reasons I mentioned earlier. On a year-to-date basis, our core U.S. growth initiatives have generated an organic volume growth rate of 8.6%, representing a sales increase of $107 million. Turning to Slide 10. Our adjusted EBITDA for the quarter was $177.1 million, representing an increase of $12.5 million or 7.6% as compared to the second quarter of 2024. The major drivers of this improvement were our organic volume sales growth and improved operating efficiencies. These were partially offset by the impact on our protein group of rising raw material costs, particularly for certain chicken and beef commodities and higher operating overheads associated with new production capacity brought online by our protein and sandwich groups. Normalizing for the impact of raw material cost inflation, which we expect to address through a combination of targeted selling price increases, easing of certain raw material costs and improved operating efficiencies, our adjusted EBITDA for the quarter is $192.5 million. Our adjusted EBITDA margin for the quarter as compared to the second quarter of 2024 fell by 50 basis points to 9.2%. However, after adjusting for the temporary impact of raw material cost inflation, it is 10.1%, representing a positive 50 basis points year-over-year increase. Turning to Slide 11. Our adjusted earnings and earnings per share for the quarter were $59.4 million and $1.33 per share, respectively, representing increases of 4.4% and 4.0%, respectively, as compared to the second quarter of 2024. The improvement in our profitability is due primarily to the growth in our adjusted EBITDA and to a much lesser extent, lower interest rates, partially offset by higher depreciation, interest and lease costs associated with the major investments we have been making in new production capacity to support our U.S. growth initiatives. Turning to Slide 12. For the quarter, we spent $52.4 million on capital expenditures, consisting of $25.3 million on major project CapEx, $12.6 million on smaller project CapEx and $14.5 million on maintenance CapEx. We define project CapEx as investments that are expected to generate an unlevered after-tax internal rate of return of 15% or greater. All other capital expenditures are classified as maintenance CapEx. Primarily all our major project capital expenditures in the quarter were on investments to increase the production capacities and in many cases, operating efficiencies of our protein and sandwich group's businesses. Slide 13 shows our project CapEx for each of the last 10 quarters. You can see the dramatic downturn in expenditures in recent quarters as we near the end of our most recent major CapEx investment cycle. Looking forward, we expect to spend over the next 4 quarters, another $108 million on major projects, after which these will, relative to our 2024 sales, provide us with approximately $1.7 billion of incremental sales capacity. Slide 14 shows some of the key metrics we use to assess our financial position. We made significant progress in the quarter in reducing our debt leverage with our total debt-to-EBITDA ratio decreasing to 4.2:1, representing 0.4 turns of improvement as compared to the first quarter of 2025, and which is now nearing our midterm target of 4.0:1 or better. This improvement was driven by 2 factors, namely the completion of the sale and leaseback of the real estate associated with our new sandwich plant in Tennessee and the growth in our adjusted EBITDA. These were partially offset by increases in our net working capital associated with the ramp-up of inventory for product launches planned for the third quarter of 2025 as well as our general growth. Our senior debt-to-EBITDA ratio also improved from the first quarter of 2025 but only by 0.1 turns to 3.3:1 due to the use of our senior credit facility to repay a $172.5 million subordinate debenture that came due in April. Looking forward, over the back half of 2025, we expect to continue to deleverage our balance sheet driven by the expected growth in our adjusted EBITDA and a variety of other initiatives, including efforts to reduce the amount of inventory held by our businesses. In terms of liquidity, we finished the quarter in a strong position with $583 million of unused credit capacity. The next and final slide shows a variety of our free cash flow and dividend metrics over the last 11-plus years. For the quarter, we generated $80.2 million in free cash flow, up 6.6% as compared to the second quarter of 2024. Similarly, our free cash flow per share for the quarter increased by 6% as compared to the second quarter of 2024. These increases reflect the early stages of us generating returns on the investments we have been making in new production capacity in recent years. In terms of dividends, subsequent to the quarter, we declared a dividend of $0.85 per share for the third quarter of 2025. That concludes our presentation. Please join us on our Q&A conference call later today at 10:30 a.m. Vancouver Time, 1:30 p.m. Toronto time. Thank you.